Operator: Good day, ladies and gentlemen and welcome to the Fastenal Company Third Quarter 2016 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Ms. Ellen Trester. Ma’am, you may begin.
Ellen Trester: Welcome to the Fastenal Company 2016 third quarter earnings conference call. This call will be hosted by Dan Florness, our President and Chief Executive Officer and Holden Lewis, our Chief Financial Officer. Call will last for up to 45 minutes and we will start with a general overview of our quarterly results and operations, with the remainder of the time being open for questions and answers. Today’s conference call is a proprietary Fastenal presentation and is being recorded by Fastenal. No recording, reproduction, transmission or distribution of today’s call is permitted without Fastenal’s consent. This call is being audio simulcast on the Internet via the Fastenal Investor Relations homepage, investor.fastenal.com. A replay of the webcast will be available on the website until December 1, 2016 at midnight Central Time. As a reminder, today’s conference call may include statements regarding the company’s future plans and prospects. These statements are based on our current expectations and we undertake no duty to update them. It is important to note that the company’s actual results may differ materially from those anticipated. Factors that could cause actual results to differ from anticipated results are contained in the company’s latest earnings release and periodic filings with the Securities and Exchange Commission and we encourage you to review those factors carefully. I would now like to turn the call over to Mr. Dan Florness.
Dan Florness: Good morning, everybody and thank you for joining in on our earnings call this morning. And I also want to welcome Holden to not only the earnings call, but to our organization as well. Holden has been here now for, I believe, about 5.5 weeks, so he is seasoned veteran at the Fastenal organization. When we started 2016, we had a handful of expectations for the year. And I thought I’d run through those expectations and talk a little bit how the year has played out relative to those expectations. First expectation for the year, we are going to open some stores. We hadn’t opened much stores in recent years. We are going to open a few more stores and not a lot, but a few more because that is part of our long-term growth and it’s about always exploring ways to grow in different markets. The second thing we were going to do is we are going to reinvigorate our store network. We talked about the CSP 16 at our Investor Day last November. Essentially, we injected about $75 million of inventory in our store network to be a better supplier, a more efficient supplier and a better same day supplier. And we are pretty good already, but let’s get better. Third item, let’s reinvigorate our vending. We have created a wonderful vending business in the last 5 years. But in the last 2 years, we have lost some steam. In 2014 and 2015, we had – we were signing about 4,000 a quarter, so we had run-rates of about 16,000 a year and really saw there is a lot more potential there and our capabilities are strong and this naturally works with our store and onsite network. Let’s go back to this more aggressively. The fourth, speaking of our onsite network, let’s transition to an onsite mentality for growth. History says we will sign about 5 to 10 a year. In 2015, we have started a transition. We signed about 80. Could we sign 200 in 2016? Five, our comps are going to ease in Q3 – sorry about that, folks. I am not sure where that came from. Our comps were going to ease a bit in Q3 would allow from mid single-digit growth in sales and it gives us a little more flexibility on what we could afford to spend as we approach the year. Let’s focus on our growth drivers in 2016. Let’s demonstrate to ourselves and others that we can grow in this environment. And let our regional vice presidents, our district manager group, our hub manager group, our support leads run their business. It’s an incredibly talented group. They run an incredibly impressive business. Let them run it. Let’s focus on our growth drivers. And point 7, 8, 9 and 10, serve your customers, serve them everyday, improve their business and ours and be creative, we will grow. What are some of the realities of the year? We are opening some stores. We opened about 30 – we will have opened between 35 and 40 stores for the year. I think that’s a good number for us in 2016. One item that changed on our stores is in May of 2016, the Department of Labor published some new rules regarding exempt employees. This rule, while it doesn’t impact our company in totality, because it essentially raised the threshold of what qualifies as an exempt employee from – there is rules for duties that qualify you and there is also a rule for pay, and those rules were increased dramatically in 2016. Because of that change, it does impact our smaller stores, because in our smaller stores, we don’t always compensate above that $48,000 level, because we have folks that are building a business and we are a sales minded organization, but the opportunity is huge. But as you all know from the years of us publishing our pathway to profit data, stores under $75,000 a month are not profitable – are marginally profitable and this damages that. And we decided to close some stores. We moved fairly aggressively on it. We closed 65 stores in Q3. We have another 32 stores queued up to close in Q4 and we are also evaluating another group we are going to look at in 2017. But because of the close to 100 stores that we identified for closure, we did book up a reserve in the third quarter for those closures primarily related to the occupancy, but we move fairly quickly on it. These closures should have a minimum impact on our revenue similar to closures in the past because the stores have another – these locations have another store in reasonably close proximity. And as you know from previous conversations, the vast majority of our revenue is business-to-business, most of it going out our back door and we are delivering to the customer sites. So if we are serving a market with five stores versus four stores or three stores versus four stores doesn’t necessarily change our ability to grow or our ability to maintain the business we have. And typically, we maintain 90-plus percent of the business when we close the store. But it did change a bit of our thought process as we have gone through the year just because of the changing landscape, the reality we live in. CSP 16, we moved aggressively on that early in the year. Our store conversion is largely behind us. We believe this broadens our ability as I mentioned earlier, be a better same-day supplier, appeal to a broader range of customers. We believe that ultimately this will help us as we go on in 2017 with our construction customers. But we believe it makes us the more efficient business. On vending, our run rate has improved. We have been signing 4,700 to 4,800 per quarter instead of the closer to 4,000 we were doing the last 2 years. Right now, our run rate, if you just take that number and annualize it, it’s about 19,000 run rate versus the 16,000 the last couple of years. This is okay, it’s not great. We added 200 and some people earlier in the year to ramp this number up. That ramp has been moving a little bit slower than I would have liked. I would like the quarterly number to start with a five versus a four but we have improved it nicely. And I also have to acknowledge the fact that as you all know from previous calls, we signed a rather sizable vending leasing program earlier in the first half of the year and we have deployed in the last four months roughly 11,000 vending machines into that program. That’s created a little bit of distraction to our program, but I would still like a number that starts with a five. But we have made nice progress. Regarding the transition to onsite, I am frankly impressed with our team. We still have work to do, but I am impressed with the fact that we have signed 133 year-to-date. That put us on pace to do roughly 180. Our record year last year was 80. I believe we are creating momentum for our business into the future because the closer we get to the customer, whether that be with our store network, our vending platform or our onsite, history has demonstrated we take market share when we do that because we have a servant’s heart within our organization. Our covenant with our customer, we will help you be a better business by being a great supplier, a great partner to you, and the onsite strategy only makes that better. And I am very pleased with the transition we are making and with that I expect us to continue making as we enter 2017. Point five, the comps were easing in the third quarter and that will help us. Unfortunately, we are still stuck in that band of one to three. If you look at it from Q2 to Q3, our sales are treading water but there is two stories going on in there. Our fastener business continues to be weak. That business has been weak since the spring of 2015 and our fastener revenue dropped about $10 million from Q2 to Q3. Under the hood, our fastener margin improved nominally from Q2 to Q3. Under the hood, our non-fastener margin improved nominally from Q2 to Q3. We didn’t execute that – we haven’t been executing that well, in my opinion, in 2016 in general on our freight. Our propensity to charge freight has weakened in the last six quarters, seven quarters. Lower fuel prices and its part of the reason, discipline is the other, perhaps the marketplace is making it a little bit more challenging to charge freight. But there are still ample examples where we can charge it we are not and we need to be better at executing on that front. But the product margins under the hood again, we have mix going against us because the fastener business was down about $10 million. We continue to see us inching along and improving the relative gross margin on the components. If sales are up 5% and – 5% to 6% as we were expecting, the fact that our expenses are up a little bit above 5%, would be okay, wouldn’t be great, but it would be okay. Unfortunately, that’s not the fact pattern and we are pulling some levers on expenses. One of those levers that we are pulling is to help offset some of DOL impacts as we go into 2017, to offset some of the investment impacts we made in 2016. The regulatory environment, well, you all watch the news, I am not sharing a secret here. It’s not a great environment to do business in. But that’s the world we live in and that’s the world we need to contend with. And there is a lot of uncertainty. But the certainty I do know is that we have a great organization, a great group of people out there managing our business. And we are going to continue to focus on our growth drivers and we are going to continue to let our regional vice presidents, our district managers, our hub managers, our support leads run their respective groups. But we will need to be mindful of the environment we are in. It’s a different earnings call for me this quarter and as the last couple of quarters have been in and that I don’t have a bunch of spreadsheets set in front of me ready to answer any and every question, just talking about the business. And I am upbeat about our business as I look forward. There is a lot of good things from a momentum standpoint, but it was tough quarter. With that, I will turn it over to Holden.
Holden Lewis: Great. Thank you, Dan. Yes, I will cover the numbers and try to give a little bit of color into what we saw that generated them. In terms of the revenues, total and daily sales in the third quarter were both up 1.8%. That’s the third straight quarter where we have seen daily sales growth between that 1.5% and 2% range. We did like that the quarter finished in September with a daily sales rate up 2.8%. But as you all know, the comparison did get quite a bit easier and that’s a pattern that’s going to continue into the fourth quarter. Qualitatively, it’s not clear to us that the tone changed much in the third quarter. We saw that the sales of fasteners into heavy manufacturing construction end markets were relatively weak as we have seen before. The same could be said of our largest customers. Our top 100 was flat to maybe down slightly during the period. But again, these are the same dynamics that have persisted throughout 2016. If there was any incremental change, it may have been that the U.S. business grew a little less quickly while Canada and Mexico actually strengthened. But at the end of the day, it all blended in what we thought was a fairly consistent quarterly sales performance. This sluggishness does mask the progress we are making on our growth drivers. Dan alluded to some of this, but we did sign over 4,700 vending machines in the third quarter. Our total installed base rose by more than 2,000 units. We now have 60,000 – more than 60,000 in the field. That’s a figure that does not include the machines that are related to our leased locker program, which is being rolled out as we expected it to be. We also signed 41 onsites in the third quarter. We are up to about 133 year-to-date. The SKUs related to our CSP 16 initiative are growing faster than the company as a whole. And we will provide some additional insights into the CSP 16 and onsite initiatives after the fourth quarter. But again, overall, we think that those initiatives are proceeding nicely. In terms of gross profit, our gross margin was 49.3% in the third quarter. That’s down 120 basis points annually and that’s down 20 basis points versus last quarter. We have discussed the gross margin ramifications related to the relative growth of our non-fastener or large customer mix in the short and intermediate term and that dynamic was significant in the annual decline we saw this quarter. In particular, fasteners as you saw as a percentage of sales, that’s down 180 basis points year-over-year to 36.1%. That does have an impact on our gross margin overall. There was also a factor in our modest sequential decline. But that said we were a bit disappointed that the gross margins slipped in the third quarter. We looked at the gross margin of the fastener and non-fastener categories. They remained stable. We did good work there. We don’t believe that we saw any meaningful pressure within the product categories themselves. We did see higher freight costs this quarter. That relates to both the weak demand, also perhaps our own diligence around inventory levels during the quarter. But regardless, the freight was a significant contributor to the downward drift we saw in the sequential gross margin Q2 to Q3 of ‘16. In terms of operating expenses, our operating margin was 20% in the quarter. That’s down 210 basis points annually and down 60 basis points sequentially. On a year-over-year basis, our total headcount at the end of the third quarter was down 115 people. That decline was greater in our part-time labor. As a result, the full-time equivalent headcount was actually still up 1.4% in the quarter and that reflects both the Fasteners Inc. acquisition as well as the additions we made to vending and onsites. Sequentially, total headcount at the end of the third quarter was down 460 people. The full-time equivalent was down 4.8% and that just relates to what’s become prudent headcount management given the sluggish demand environment and our efforts to prune some of our stores. We did see an increase in healthcare expenses in this quarter. However, overall, the employee-related expense as a percentage of sales, we thought were stable year-over-year and frankly improved slightly sequentially. Occupancy, expenses there were up both on an annual and sequential basis. This relates to three things. First and most significantly is the continued growth in our vending equipment. Revenues through our vending machines were still up almost 10% in the third quarter. That’s well above our corporate growth, so we feel good about these investments. Secondly, we continue to invest in our distribution infrastructure, primarily related to automation initiatives we have had underway. We think that that will contribute to long-term productivity. And then third, in the third quarter the expense was also lifted due to the closing of those 65 stores. For those reasons in the short-term and given the current environment, occupancy expenses are certainly playing a material role in pushing down our near-term margin. Cash flow generation, we generated $133 million in operating cash in the third quarter. That’s down about 5% versus last year, really related just to lower income this period, but it does represent 105% of this quarter’s net income, which is actually slightly better than last year. We did have a free cash deficit of about $27 million. That includes our having paid our dividend, but we also saw capital spending rise and that’s simply a function of the lease locker program with Wal-Mart and sort of the costs related to that. We didn’t buyback any shares in the period and we did add about $15 million in debt to finance the free cash shortfall. Lastly on balance sheet, our total debt at the end of the third quarter is now about $445 million. That is up $130 million from the end of third quarter last year. On a net cash basis, our total debt now is 13.5% of total capital, up marginally from 10.2% in the same period a year ago. That rise is modest and it relates to the modest free cash generation we have had from lower earnings. The higher inventories we put out there due to CSP 16, some stock repurchase and of course, the payment of our dividend. We do view the balance sheet as being conservative to capitalize and we have ample liquidity to continue to invest in the business and pay our dividend. In terms of working capital, this will be my last comment. We were comfortable with how the numbers shook out. The receivables came in at about 49.7 days. That is comparable to where it was a year ago. Inventories came in at 159.6, that’s well ahead of where we were a year ago, but that was expected. It does reflect our infusing the CSP 16 products into the field, the acquisition of Fasteners, Inc., which will anniversary in November and the increase in onsite locations. But the annual increase in dollar inventories was 9.5%. That was – that did achieve our goal of keeping growth below 10%. So overall, we are comfortable with where the condition of our balance sheet is, given the effect of the significant growth investments that have impacted it. That’s all I have and with that I will – we will turn over to questions.
Operator: [Operator Instructions] Our first question comes from the line of Ryan Merkel with William Blair. Your line is open.
Ryan Merkel: Thanks. Good morning guys.
Dan Florness: Good morning, Ryan.
Ryan Merkel: So first, can you talk a little bit more about September, which to me it looked like sales stabilized at a low level, but how did the month start and finish and I know you said that not much has changed with the end markets, but are you seeing any signs that the industrial economy is bottoming?
Dan Florness: I can’t say that we are, Ryan. I can tell you that with the two weeks left in the month and I am looking at where I thought the momentum is going to finish and how it played out, there were no surprises in the last ten days, which says as much about our large account performance as it does our small account performance, just the dynamics of timing during the month. And – but I can’t say that we saw any kind of inflection. Holden, I don’t know if you have any comment to add to that.
Holden Lewis: Yes. And what I will say about that Ryan is when we look at sort of our customers by category or end market grouping, we didn’t see a lot of changes in September. We might be lapping some of the issues around the energy side, but that would be one month in hand with that. We will see how that plays out through fourth quarter. But there may have been some indication on that in some of those customers. We probably saw a little bit of incremental weakness in the heavy-duty truck customers that we might have. But beyond those two items, there is not a lot more to add in terms of end markets. Regionally, we indicated the U.S. was a little bit weaker than the international. Some of that might simply reflect changes in currencies more than anything else. But there wasn’t a whole lot of change beyond those fairly minor sort of differences in the quarter or in the month.
Ryan Merkel: Okay, fair enough. And you could see a little bit more evidence before you are willing to call it bottom, I understand. Then, moving to incremental margins, I think in the last call, Dan, you said that the new level was 20% to 25% just given the onsite business that’s ramping, but what level of sales growth do you need in 2017 to get there?
Dan Florness: Well, if you look at our expense growth right now, we are running – and I am assuming in this discussion that gross margins, the drain that we have seen in the last five, six quarters moderates. Our fasteners as a percentage of our business moderate to a certain degree. And there is a better shine through of the revenue growth or maybe I could just answer to the context of gross profit or the growth we need. Right now, our operating expenses are up about 5% year-over-year. Some of that because of the investments we have made. We need to structurally lower that probably closer to 3.5% to 4%, so that at 3.5% and 4% revenue growth, we can let that shine through. Obviously, one thing that’s inherent in our numbers right now is of the accordions that are within the – if you think of the cost structure of Fastenal, our incentive comp is at an incredibly low point right now. So, we would be very mindful of the structural expenses we are adding as we look into 2017 and ‘18, because we know there will be some expansion in that cost pool as we want the ‘17 and ‘18 and that’s frankly a good thing. That was also – I am not going to paint the picture of the DOL rule changes were the only reason we closed some stores. They were recently moved pretty quickly, but we do need to be mindful some structural costs that we can remove from the business, especially in an environment where onsite is a bigger part of our growth driver going forward.
Ryan Merkel: So next year, you need mid single-digit top line maybe a little bit better to see some meaningful earnings leverage, is that fair?
Dan Florness: Yes, yes. I think it’s also fair, Ryan, to suggest that coming into this year, we sort of took it for granted that we grow mid single-digits and plan to invest around that. I am not sure that we are making such – that we are making any such assumption about the go forward market given that we haven’t seen any meaningful improvement in the markets. And so we are not necessarily going to assume that we are going to make those same investments for that same level of growth. We maybe prudent if we don’t begin to see the revenue growth rates begin to tick up.
Ryan Merkel: Right, makes sense. Okay, thanks. I will pass it on.
Operator: Thank you. Our next question comes from the line of David Manthey with Robert W. Baird. Your line is open.
David Manthey: Thanks. Good morning, guys. Could you remind me the math on vending? You asked that customers have an incremental spend of about $2,000 a month I believe it is, is that a net goal after the reduction in usage of the products that are in the vending machine?
Dan Florness: Yes. And it does not – it does not need to be vending revenue and again that’s based on the machine itself and different machines have different requirements. The FAST 5000, which is roughly, I think, 40% of our fleet, that’s that $2,000 number. But for lockers, which have a lower cost basis than the FAST 5000, the number might be $1,200 or might be $1,000. That’s why we have disclosed historically, we have talked about both our absolute device count, but then our weighted average count, because the weighted average is more akin to the $2,000 number.
David Manthey: Okay, got it. And if I recall your realized incremental revenues was something less than that $2,000, is that still the case?
Dan Florness: No, our realized historically, if you look at that as far as growth with those customers, that was realized, again, not all that through the machine, because our average machine runs closer to $1,100, $1,200 versus that $2,000. But we do achieve growth outside the machine and that’s why you see our vending direct – our business with the vending machine continues to grow. And our non-fastener business, which – about 25% of our non-fastener business goes through a vending machine and that’s why that business continues to grow mid single-digits in an environment where the peers in that business are contracting.
David Manthey: Okay. So what you are saying is that per weighted average machine, you are achieving $2,000 of total net growth, again yet realizing that’s not just through the machine, that’s all in for the customer, correct?
Dan Florness: Correct.
David Manthey: Okay, alright. Thank you for that. And then how much higher were your occupancy costs due to the closures in the current quarter. And then you mentioned the reserve for future closures that you took in the third quarter, I think you said it wasn’t that meaningful, but could you just give us an idea of what that was?
Holden Lewis: I believe it was just over – just under $1.1 million that we booked during the quarter. And again what that is, once we make the – and this is the – Dan thrown his CFO hat on for a second, sorry, some habits are hard to kill. What you accrue when you are closing locations is you look at future expenses you will incur that do not have a future benefit. And so in the third quarter store closures, there is some real estate that we need to contend with. And in the fourth quarter locations, there are some real estate costs we will need to contend with and those we accrue a lot based on assumptions of similar closures in the past, but it’s about $1.1 million.
David Manthey: Alright. And then final question on pricing, you have been seeing some pressure on the fasteners side recently, has that alleviated at all [indiscernible] fasteners, non-fasteners and then your outlook for 2017 on pricing?
Dan Florness: I don’t know if we have an outlook, a generic outlook for fasteners and non-fasteners. My earlier comments were from Q2 to Q3, our gross margin on fasteners ticked up nominally. I look at that and say that probably should have occurred structurally just because some of the weakness usually occurs that we are seeing most acutely is in the OEM fasteners and so mix should be helping fasteners a little bit. So I would look at that and Holden characterized it as treading water. Our non-fasteners, we improved a little better than 20 basis points from Q2…
David Manthey: Yes. But from a pricing standpoint, Dan?
Dan Florness: From a pricing standpoint, not much going on there Dave, that’s – the non-fasteners is as much about us doing a better job of managing the mix.
David Manthey: Okay.
Dan Florness: To the extent Dave, that in prior quarters, there was any confidence from our people that there was a little bit of pricing pressure they were seeing on fasteners, I would say that the confidence is not as high that they are seeing that pressure at this point. So it was never huge on fasteners to begin with. And whether we are anniversarying it or what have you, it doesn’t seem to be a big factor in what we saw this quarter. And again I think that’s reflected in part by the fact that we had relatively stable margins on our – when you look at the category specifically.
David Manthey: Alright. Thanks guys.
Operator: Thank you. Our next question comes from the line of Hamzah Mazari with Macquarie. Your line is open.
Hamzah Mazari: Good morning. Thanks for taking my question. Just a question on the onsite business, maybe Dan if you could frame for us, how should we think about the ramp period associated with the new onsite store either in revenue per month or however you want to describe that, just trying to get a sense of how the onsite business ramps over time and against critical mass and I realize that would vary depending on the customer, but just any sense of that would be helpful?
Dan Florness: What we talked about a year ago, I will answer it in two components, we talked about a year ago was and what Chris talked as he had studied a lot of our existing onsites is that you could take a $20,000 or $30,000 a month relationship and grow it to $120,000 or $130,000, $150,000 relationship in 12 months to 24 months. We still believe that to be true. We have ramped so many, the 80 and then the ones we have signed this year, many of which we are turning on at different times last year and different times this year. In our earlier commentary, we talked about in January, given a little bit more insight what we have seen from this first group of 80 how we will have a calendar year under our belt and then what we are seeing in the new group coming in that have turned down as we have gone through the quarters. I just soon hold the answer to that for that point in times we will have more succinct data to share with you. What I can tell you is our assumptions initially we have not seen evidence that causes us to think that assumption should be different going forward.
Hamzah Mazari: Okay, got it. And then just a follow-up question, on the gross margin, anything you can quantify around freight and also the CSP 16 startup costs, just trying to get a sense of the margin degradation regarding those two items. It’s not like margins coming in your expectation was probably flat to up slightly given some of the inventory you pulled out last quarter. Is that fair?
Dan Florness: Yes, that’s a fair characterization of what we talked about in July. If you look at the CSP from a gross margin perspective, the stuff we were seeing earlier wasn’t about CSP 16 so much. That was about – we were introducing some new tools into our business inventory by location and some other aspects like that and we were aggressively moving on some inventory from a clearance standpoint. The CSP 16, those – the margins on those projects are nicely above the company average. That has much to do about the mix of who that business is going to as it is about the actual products. Because in the CSP 16, there is a fairly strong mixture of tool categories etcetera that don’t necessarily have higher gross margin, but the mix of customers is beneficial in that business. So, that CSP 16 has a positive influence overall to gross margin albeit relatively small impact on the relative dollars. In terms of the freight, I mean, our gross margin declined 20 basis points sequentially from Q2 to Q3. I think it’s fair to suggest that freight was a significant piece of that 20 basis points, if not all of it.
Hamzah Mazari: Great. Very helpful. Thank you, guys.
Operator: Thank you. Our next question comes from the line of Adam Uhlman with Cleveland Research. Your line is open.
Adam Uhlman: Hi, guys. Good morning.
Dan Florness: Good morning.
Adam Uhlman: Just sticking with that freight theme for a second here, we have talked about fuel and execution behind that. I am wondering if you are seeing any changes in how the market approaches freight, because obviously a lot of consumer markets, consumers expect free shipping. And so maybe you could talk about how much of your revenue base you already have free freight with certain customers and then maybe talk a little bit more about the pushback with the execution issues that you are seeing there?
Dan Florness: Well, two things going on here, Adam. One is if you think of our growth drivers both short-term and multiyear, our growth drivers lend themselves towards things that really don’t have a freight component to them. Vending, there really isn’t a freight component to vending, so that business, that growth, that $600 million plus business a year is freight free, because it’s part of the offering we have. If you think of CSP 16 by placing it in the store, those products don’t really lend themselves to having freight charged on them, whereas perhaps in the past some of that revenue again, that’s a relatively small impact. One of the selling impacts or selling philosophies of the onsite is that we are by moving in onsite to your facilities, there are certain costs we can strip out. One of them is some of your working capital costs as we can stock that inventory because we are a more efficient supply chain. Some of that is because we are more orderly in what we are ordering in our visibility to when we see – we learn about transactions before they become quotes and purchase orders. And so we can be more efficient on how we manage our freight costs. So, those are structural changes over time that aren’t necessarily detrimental in the true sense of the word. I think one of the things that can happen when you are going through this environment of some of the structural changes don’t necessarily have a freight component to them is that you can convince yourself that maybe the other pieces don’t have as great propensity to have freight on them as they did in the past, maybe that piece of that is the tone of the leaders of the organization and I look at myself when I say that. Maybe I am not pushing it hard enough. But it’s the case of, sometimes, you can convince yourself on why you can’t do some stuff and you need to convince yourself on why you can, why you should. And I think that’s probably the bigger culprit in this equation than the marketplace, because the marketplace doesn’t change that abruptly to explain some of the degradation we had.
Adam Uhlman: Okay, thank you. And then if we could just switch gears back to the revenue growth trends, the non-res construction sales have been weaker sometime and I think Holden, you mentioned that we are starting to cycle against some of the oil and gas headwinds that we had last year. Maybe could we dig into that a little bit more deeply? What have you been seeing by region, any pickup in oil related customer growth recently? Thank you.
Holden Lewis: It would probably be premature to get particularly excited about what we are seeing. As I said in September, it looked like maybe a couple of our national accounts within that energy piece should begin to see some of their annual rates have changed become less severely negative, but they are still negative. And we will see how the next couple of months, couple – the next quarter plays out on that space. But I think that the real emphasis that we would make and I guess, this came about the question of bottoming. We are not seeing things getting a lot better. If those customers get better, it’s because the comps are getting easier. Maybe we will be pleasantly surprised and demand will actually improve from here going forward. But it’s a little bit early to make any such declaration in any of those markets.
Dan Florness: I will throw one comment and I had the opportunity early last week to reach out to our regional leader in the Gulf Coast. Steve and his team have gone through a pretty ugly period in the last 1 year, 1.5 years. And that business grew in September. And it was fun making that call and congratulating them because I know from a first hand basis some of the discussions I personally had with them as well as other individuals in that business unit, they have had a really ugly period and I was really happy for them to see their business grow in the month of September.
Adam Uhlman: That’s good to hear. Thank you.
Operator: Our next question comes from the line of Sam Darkatsh with Raymond James. Your line is open.
Sam Darkatsh: Good morning Dan, good morning Holden, how are you?
Dan Florness: Good. Good morning Sam. Thank you. Good morning.
Sam Darkatsh: Couple of questions here, first off, related to back to vending, the spread between the growth in vending customers and non-vending customers is obviously pretty tight right now, I am trying to think about what factors might occur that would create that spread to re-widen in vending’s favor especially with your thoughts Dan that you think the fastener business ultimately for you stabilizes from here?
Dan Florness: We had quite a few vending machines that have been running negative and vending relationships that have been running negative. And I asked our team to take a look at this group of vending machines. And it’s a sizable group of vending machines, so population if you look at and you can actually glean some knowledge from it. We took a good hard look at it and what we saw – because one thing – one visibility we have into our customers’ business that we have never had before is the insight into how many unique people are using the device. If there is 100 employees that are in this customer’s facility, you know that because those 100 people are in the database are people that can use the vending platform and it also – of those 100 people can get these products versus those products. If I am in the welding area, I have access to the welding tips. But if I am not in the welding area, I don’t have access to those six buttons, if you will and – or those six products. And one thing that jumped out for us where we had vending machines that were negative and again, it was a sizable number is the number of employees on the database right now versus a year ago had dropped. And that group, the number of employees had dropped about 10%. And I don’t recall offhand how many customer locations this included but that tells me we have a bunch of customers and our fastener business was negative with those customers. We have a bunch of customers who had downsized some operations, maybe they have fewer shifts maybe they have fewer people per shift, but they have downsized in this group about 10% actual headcount. And we were seeing in those machines revenue down in the teens. So that’s the case that there was some serious belt-tightening going on. But there was just a drop in consumption because there was a drop in the workload at that business. And that’s – the economics are such that if there is fewer employees from a year ago, they need fewer safety glasses and gloves and new consumables that go with having people.
Sam Darkatsh: Interesting. A couple of more quick questions if I could. What would prompt the resumption of the share repo activity is it just a matter of once you no longer require the capital for the Walmart initiative or is it something else?
Dan Florness: I don’t know if we know the answer to that right now, Sam. One of the – personally, one of the advantages of bringing in somebody like Holden into the organization is the perspective of Fastenal has historically been we are boringly conservative Midwesterners and we tend to look at the business probably not as financially as still as we should and that’s probably a reflection of the old CFO. I like the fact that we have a voice at the table that is going to challenge us to think about our business differently. The fact that think about our working capital, think about our capital structure just think about the business, in general, little bit differently, it doesn’t mean we are going to change suddenly on our appetite for doing different things, because we have changed our appetite in that over the last 2 years. But we have been – as you see from the numbers we have been pretty quiet on the buyback and I don’t know that, that will change in the next few months.
Holden Lewis: When the decision was originally made, part of it was simply the capital structure had been so under – so overly conservative, if you will. At this point with 13% debt-to-cap is certainly not a lot, there was plenty of room to go higher should we choose to do so, but at the same time, we do in fact have debt at this point. So, the same urgency to address our capital structure isn’t quite where it might have been originally and so there maybe reasons to buyback stock in the near to intermediate term, but there is no urgency to do so.
Sam Darkatsh: And then the last question...
Dan Florness: Sam, I will have to take that one offline. I see we are at 45 minutes past the hour and we have always religiously held to the 45-minute conference call. I realized it’s the start of earnings season and everybody has a lot of demands on their time. I want to close the call by thanking everybody for your interest in the Fastenal organization and learning a little bit about our quarter and about our growth drivers. I am as excited about the opportunities for our business as I was a year ago as I was 5 years ago and really feel we have begun taking two nice steps, 2015 and 2016, into transitioning to an onsite mentality for growth. And I am excited about what that means for our future. Thank you everybody and have a good day.
Holden Lewis: Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone, have a wonderful day.